Operator: Good day, ladies and gentlemen, and welcome to the NGL Energy Partners LP Fourth Quarter Fiscal Year 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your hosts for today's conference, Mr. Trey Karlovich, Chief Financial Officer. Sir, you may begin.
Robert Karlovich: Thanks Cheryl, and thank you everyone for joining this morning. As a reminder, this conference call includes forward-looking statements and information. Words such as anticipate, project, expect, plan, goal, forecast, intend, could, believe, may, and similar expressions and statements are intended to identify forward-looking statements. While NGL Energy Partners believes that its expectations are based on reasonable assumptions, there can be no assurance that such expectations will prove to be correct. A number of factors could cause actual results to differ materially from the projections, anticipated results or other expectations included in the forward-looking statements. These factors include prices and market demand for natural gas, natural gas liquids, refined products and crude oil; level of production of crude oil, natural gas liquids and natural gas; the effect of weather conditions on demand for oil, natural gas and natural gas liquids; and the ability to successfully identify and consummate growth opportunities and strategic acquisitions at costs that are accretive to financial results and to successfully integrate and operate assets and businesses that are built or acquired. Other factors that could impact these forward-looking statements are described in the Risk Factors in the partnership's Annual Report on Form 10-K, Quarterly Reports on Form 10-Q and other public filings and press releases. NGL Energy Partners undertakes no obligation to publicly update or revise any forward-looking statements as a result of new information, future events or otherwise. This conference call also includes certain non-GAAP measures, namely EBITDA, adjusted EBITDA and distributable cash flow, which management believes are useful in evaluating our financial results. Please see the partnership's earnings releases, investor presentations and annual and quarterly reports on Form 10-K and Form 10-Q on our website at www.nglenergypartners.com under the Investor Relations tab for more information on our use of non-GAAP measures as well as reconciliations of differences between any non-GAAP measures discussed on this conference call to the most directly comparable GAAP financial measures. I’ll now turn the call over to our CEO, Mr. Mike Krimbill.
Michael Krimbill: Thanks Trey. Good morning and thanks for joining us. Fiscal 2019 has been a year of continuing change in repositioning of NGL as you know. This has resulted in a stronger partnership in many ways. So let's identify these accomplishments by addressing the issues that we faced. First, we had uncomfortably high financial leverage. We solved this by aggressively selling nearly $2 billion of assets at attractive multiples, reducing compliance leverage to approximately 2.6 times while increasing EBITDA not shrinking. We went about this in a very strategic manner not selling our best assets, but rather selling assets such as Glass Mountain Pipeline which wasn’t part of a larger system and pruning our water business to focus on the best basins where we had a competitive advantage. Second, our EBITDA has been unpredictable and not as stable as we would all like. Our response has been to substantially reduce seasonality of our cash flows and our weather risk as a result of selling our retail propane business. We are adding long-term contracted revenues for the water solutions internal and acquisition growth. Plus, we have also increased the repeatable cash flows from Grand Mesa on the crude oil logistics side. Third, we were described as too complicated. We have reduced our segments from five to four and are currently reviewing our options in the refined products segment. Fourth, our common units coverage ratio was too low. We took our medicine early on by cutting our distribution to $1.56 and wiping out the entire general partner distribution. We are now in a position where coverage will exceed 1.3 times this fiscal year and continue to grow. We must have a coverage ratio that allows us to earn our distribution even in the bad times. In addition to addressing these unsold opportunities we have eliminated potential 20 million common unit dilution by redeeming the Oaktree convertible preferred. We have also eliminated our near-term debt maturities, as Trey will address, by redeeming the 2019 and issuing the 2026 notes. So now we can turn our attention to operating our assets and growing them at attractive multiples with long-term contracts. So where is our capital to be allocated? Our criteria has both rate of return and scale. Water is number one as the returns are the most attractive for both internal growth and acquisition opportunities. We have scale in the DJ Basin, Eagle Ford and now the Delaware. Crude Oil and NGL Logistics do not often have the acquisition opportunities at attractive multiples, so they will probably see opportunistic internal growth and acquisitions where we have significant synergies. We have scale in the DJ for Crude and now in NGL Liquids as well. We will continue our balance sheet discipline keeping leverage at 3.25 times or less. So where is our excess DCF going to be utilized? We have the ability to buy back units, this will probably happen when our unit price is at the point where the yield is 15% or higher, so that is effectively a 6.5 to 7 times acquisition multiple. We are not there now and hope we don't get there. Debt reduction is an option in order to keep our leverage at 3.25 times or less and distribution growth is possible once our yield is below 10% and the market will reward the partnership with increases. Since unit buy backs and distribution growth are not yet in play and we are well below our leverage target, funding growth at 15% to 20% return is our best use of cash currently. So with that I'll turn it back to Trey.
Robert Karlovich: Great, thanks Mike. So as Mike mentioned we had a very successful year and we're well positioned financially heading into fiscal 2020. Well we have already accomplished significant amount from a financing standpoint. So first from a balance sheet management perspective. We finished fiscal 2019 with a compliance Leverage Ratio of 2.6x, well inside our target of 3.25 times and our overall leverage came in at 4.5 times also inside of our targets. These results are a tremendous improvement and demonstrates our focus on balance sheet and credit improvements throughout the past year plus. Subsequent to year end we issued 450 million in notes due 2026 and 45 million in Class C Preferred Units and utilized the net proceeds to initially repay borrowings on our credit facility and then redeem a portion of the Class A Oaktree preferred units. In May we redeemed the remaining amount of the Class A Oaktree preferred units and now have no near term debt maturities or any preferred unit conversions. Pro forma for these transactions we remain just below our target leverage of 3.25 times and improved our liquidity by over $200 million since March 31 and that significantly reduced our cost of capital going forward. These transactions have provided us the opportunity to fund our fiscal 2020 growth projects and flexibility around the funding of Mesquite acquisition where we currently expect to maintain a 3.25 compliance ratio pro forma for the acquisition and for fiscal 2020. We currently expect finance Mesquite with a combination of available liquidity, equity issued to the seller, potential asset sale proceeds and/or proceeds from debt or equity securities transaction. However, we do not plan to issue common units other than the potentially the sellers option to take 6 million units at a $16 per unit price as part of the consideration. While we cannot comment further, we will note that we are optimistic about our financial alternatives for this transaction. Now looking at our operating results for the fourth quarter and fiscal 2019. Adjusted EBITDA totaled $132 million for the fourth quarter and $440 million for fiscal 2019. Our overall results are in line with our target for the year, noting that we have earned over $23 million in biofuels blending credits that we have not yet been able to recognize in our refined products business. We finished the year within 2% of our overall EBITDA target and well above the low end of our guidance ranges in spite of certain assets sales occurring throughout the year and not capturing the bio credits. Should Congress pass the Biofuels Blenders Credit retroactively for calendar 2018 and 2019 we will recognize those credits at that time. The Crude segment generated approximately $51 million of adjusted EBITDA this quarter consistent with prior quarter and matching our expected run rate for this business which continues to be underpinned by Grand Mesa Pipeline. Grand Mesa volumes averaged 129,000 barrels per day this quarter as DJ production remained consistent and we continue to have strong demand for transportation on the pipeline. Full year 2019 adjusted EBITDA totaled $181 million which exceeded the high end of our guidance which was $175 million. This was attributable to the volumes on Grand Mesa exceeding budget and benefits in the Crude segment from basin differentials most notably in the Permian over the summer. We continue to see strong volumes on Grand Mesa as well as potential improvements in other areas of our crude marketing business for the upcoming year. Basin differentials are also improving across our footprint. Based on stable crude oil prices and production activity as well as similar run rate Grand Mesa volumes our adjusted EBITDA guidance range for the Crude Logistics business for fiscal 2020 is a range of $190 million to $210 million with our current run rate right in the middle of this range. Moving to Water, our Water adjusted EBITDA was $40 million for the quarter. As a reminder, we closed on our Bakken sale in November and our South Pecos sale in February, both of which were reflected in our lower fourth quarter results compared to third quarter and which was expected. Our year-to-date adjusted EBITDA for Water Solutions totaled $166 million which not only reflects the asset sales but also the impact in our second quarter where the significant decline in the Permian crude price differential which impacted our Skim oil revenues and associated hedges and was offset in our Crude segment. Adjusting for these items, we believe the Water Solutions segment would have been very close our guidance range, which we did not adjust in spite of these items occurring earlier this year. By the way, this was also a 43% increase in EBITDA over the prior year. Water volumes averaged approximately 860 thousand barrels per day this quarter. We saw decline in our quarter-over-quarter volumes in the Eagle Ford and DJ basin as activity slowed slightly due to lower commodity prices coming into January and weather delays impacting producer activity. Our Permian and New Mexico volumes were relatively flat this quarter compared to the prior quarter after adjusting for the South Pecos sale. We have seen an increase in volumes this spring and are expecting growth through the remainder of the year based on recent activity, producer drilling plans, and infrastructure coming online particularly in the Permian and the DJ Basins. Skim oil production was approximately $3700 per day during the quarter with an average crude cut of 43 basis points which is in line with our expected recovery. We will continue to focus on recovering as much oil as possible from our Water volumes while incremental pipeline delivered volumes generally contain less crude oil per barrel. We have now hedged approximately 1300 barrels per day for fiscal 2020 at a weighted average price of approximately $62.50 per barrel. We have also rolled out hedges for approximately 1000 barrels per day through December 2020 at approximately $60 per barrel. We will continue to layer in hedges to cover our commodity price exposure on Skim oil. We are expecting continued growth in our Water Solutions business going forward, obviously the Mesquite acquisition will be a significant contributor, but our existing asset base continues to grow as well with incremental gathering pipelines particularly in the Delaware Basin along the Texas New Mexico border. Our adjusted EBITDA expectation for Water solutions for fiscal year 2020 is a range of $290 million to $320 million, assuming a July closing of Mesquite the largest quarterly increase is between the first and third fiscal quarters as we close the transaction bring on our major pipeline projects and see incremental volumes from producers behind our system. Our Liquid segment generated from a strong winter season that extends well into March and even April and supported volumes in propane pricing. We also benefited slightly from one month of earnings generated by the new terminals acquired from DCP which closed on March 1. Adjusted EBITDA for our Liquids segment totaled $32 million this quarter and over $90 million for the year, a significant improvement over the prior couple of years and well above the $75 million high-end of our guidance range. Margins were much stronger than prior years with our lower cost profiles, supported market structures in the quarter and improvements in our contracting. We also benefited during the year from new producers services arrangements, increased NGL production and pipeline issues in the Northeast necessitating rail transport. We are excited about the new DCP terminals and are already seeing the benefits of the new Chesapeake terminal where we are running near capacity. Our fiscal 2020 guidance for EBITDA take into account synergies between our legacy assets and the new assets acquired along with our strategic initiatives. Our EBITDA range for liquids is between $75 million and $90 million for fiscal 2020. Finally Refined Products, adjusted EBITDA in Refined Products and Renewables totaled $16 million for the quarter and $29 million year-to-date which is below the low end of our guidance of $55 million. As we previously mentioned, the Biodiesel Blenders Credit should be passed for calendar 2018 and 2019 would generate approximately $23 million for this business, which would have put us in line with our guidance range. We incurred and recognized the costs associated with blending bio to earn those credits during the fiscal year and should they be passed we will recognize those credits in earnings at that time. Mike discussed our current [indiscernible] business going forward and the team continues to look for ways to maximize margins, grow volumes and manage inventories. Our fiscal year 2020 guidance range for the Refined Products business has been set at $40 million to $60 million for the year. Our corporate costs were $30 million for the year and net of Retail Propane for the first quarter we came in right in line with our guidance of $25 million net for the full-year. We're expecting corporate costs for fiscal 2020 to remain consistent with this past year. So overall, our partnership adjusted EBITDA target is set at $600 million for fiscal 2020. This growth in EBITDA for next year is supported by our significant capital investment into our Water Solutions segment over the past year and through fiscal 2020. Our recently announced acquisition of Mesquite, the stability of the Crude Logistics business anchored by Grand Mesa and similar combined results from our Liquids and Refined Products businesses as last year. With the growth in Water and Crude, these two segments would now make up approximately 80% of our cash flows in earnings. Maintenance CapEx was $12 million this quarter and totaled $49 million for the year which include certain costs associated with Retail Propane prior to the sale. We have reassessed our maintenance program primarily in Water Solutions and believe we can reduce our cost per barrel. However, overall disposal barrels and assets have grown significantly, so we are expecting maintenance costs to increase year-over-year. We're expecting fiscal 2020 maintenance CapEx to total between $50 million and $60 million and to be fairly ratable through the year. We declared a $0.39 per unit or a $1.56 per unit annualized distribution for the quarter and we expect to maintain this distribution level into fiscal 2020 as we integrate the Mesquite acquisition, fund our growth capital program and build our distribution coverage. As Mike mentioned we continue to target 1.3 times coverage or better on a trailing 12-month basis. Should we exceed that coverage level, which we currently expect to be later this year, we would then evaluate the best use of funds for the benefit of unit holders including reinvesting the business, repurchasing equity or increasing our distribution rate. That decision will be made based on numerous factors, but keeping our balance sheet healthy will be our priority. We intend to maintain our target at 3.25 times compliance leverage. In summary, it has been an eventful year for NGL. We have repositioned the company with the sale of Retail Propane, continued investment into our Water Solutions business and significant strengthening of our balance sheet and liquidity position with no near term debt maturities. We have sold assets in significant multiples and redeployed the capital into projects and acquisitions that we believe will generate better returns and an even stronger business portfolio across our core segments. We see a lot of opportunity for our partnership and appreciate the continued support. We will now open the call up for any questions.
Operator: Thank you. [Operator Instructions] Our first question comes from TJ Schultz with RBC Capital Markets. Your line is now open.
TJ Schultz: Great thanks. Hey guys. I think just first for the Water segment EBITDA guidance for fiscal 2020, I'm just looking for any more color you can provide to kind of bridge the increase from a 4Q run rate if we think about it ex-Pecos about $150 million to that guidance number in the $300 million range, clearly Mesquite’s $90 million to $100 million of that increase, but you’re still implying some meaningful growth to the legacy business. I know you mentioned some major pipeline projects on the base business coming online and maybe if you could just start there and any more details about the capacity you are bringing on? How rates are trending? And just some more color there? Thanks.
Robert Karlovich: Sure. Thanks TJ. So, to start, the major pipeline projects coming online through the summer and into early fall will be the Western Express Pipeline which is connecting all of our disposal facilities along [ph] Highway 285 essentially from Carlsbad down through Texas into Orla which is the, kind of the core of our disposal capacity. We’ll be bringing barrels onto that pipeline from both, New Mexico and Texas. Additionally we’re bringing on the - what we call LEX or the Lea County Express which will run from the - essentially the McCloy Ranch area through New Mexico into the east into Texas. So, both of those projects will come online middle of this year. We’re expecting the significant ramp in volumes really from the Delaware. We do expect some increase in the DJ and a little bit in Eagle Ford, but the Delaware is where the significant amount of growth is. That’s been indicated by volume increases that we’re already seeing into March and April. When you look at the fourth quarter run rate, January and February is similar to what we saw in December was a slowdown, we saw that slowdown based off of declining commodity prices, reduction in capital invested by producers and just general weather activity impacting some of the operations in the Permian in particular. So we saw a leveling out in volumes there and a slight decrease in the Eagle Ford and the DJ. We have seen that pickup, so we are expecting an increase there. Additionally, we have the Mesquite acquisition as you mentioned coming on in July. We did a smaller acquisition that we closed in April. So that will be factored into our forecast. Additionally we have the impact of the CapEx invested in last - in the prior year primarily associated with the ranches and freshwater activity which we had very little of in the prior year or in fourth quarter. So, we are expecting an increase in freshwater sales which will also benefit the Water business. Finally, the margin per disposal barrel and our operating cost per barrel will change slightly, so, we are expecting to see an increase in disposal revenue per barrel as we’re adding more barrels in New Mexico at higher disposal rates as well as capturing gathering fees along the pipelines and with the gathering via pipeline we are expecting our OpEx per barrel to decrease. We’ve seen that in our recent projects, we see that from Mesquite and we’re expecting some more throughout the year. So, the combination of those things is what's really driving the increase from a - from what looks like a current run rate to where we’re expecting to be next fiscal year.
TJ Schultz: Okay. And then the Skim oil, I think you said 43 basis points. Would you - are you expecting that to come down a bit in the guidance?
Robert Karlovich: We are as I mentioned Skim oil on piped barrels is expected to be less. We’re targeting something pro forma from Mesquite something like 30 basis points maybe even a little bit under that for next year. So you know, on our base asset it’s probably closer to like a 0.35, so 35 basis points or pro forma for Mesquite or like you know something probably just under 0.3 or 30 bps.
TJ Schultz: Okay, great. Just one last one, just moving to Refined Products as you evaluate that kind of longer term, just any context around thoughts on potentially looking to sell that? What maybe kind of trough levels here versus the potential leverage benefits to you, kind of regardless of timing and then what's your timeline there to make a decision on that business?
Robert Karlovich: Sure. So obviously Refined Products as we look at it, is in a do in the trough period, from a performance perspective; however, the leverage benefit is significant when you factor in the working capital and the way many people work at our total leverage. So, we are weighing those two. As we mentioned we’re - we continue to evaluate that business. We are looking at ways to maximize the earnings from that business that continues to be our focus. At this point in time, that's really all we can say. I think that as we’ve shown in the past, if we’re going to transact on our business we’re going to do it - something for the value. So, I think that would be the expectation here as well.
TJ Schultz: Okay, great. Thanks Trey.
Operator: Thank you and our next question comes from Spiro Dounis with Credit Suisse. Your line is now open.
Spiro Dounis: Hi good morning guys. First one just on Water. It seems like word maybe is out now that the attractiveness of that business and competition seems to be picking up a bit, so just curious generally how you’re thinking about creating a moat around your business now and then maybe how any of that could sort of change the role of strategy that you guys have been deploying so far?
Michael Krimbill: I’ll start, I think we are probably in a transition period here where there is more awareness of our Water, especially in the Delaware and there are a number of companies up for sale in the Delaware currently. I think we have synergies others don’t and as you know we don't - we take water to our wells we don’t have royalties. We could certainly cut overhead and have some decent synergies. So I think we can still be competitive and not pay a 9 or 10 times multiple. Like, we’ll see how these other processes turn out and we’ll know more, you know, it’s a double edged sword. We would love to buy at a 6.5, 7 times and then trade it at 10. But as soon as everyone thinks it’s a 10 multiple business then purchase prices go up to 9. So, it’s, with Water we ought to be careful, we certainly we’re all now aware that truck water is not, it’s more royalty on the service type business, contracted with these massive pipe systems with contracts are more G&P like and so they should be worth more. So, we’ll see what happens I think in the next 90 to 120 days. 
Spiro Dounis: Got it. And then as far as, sorry guys.
Robert Karlovich: Just to add to that you know you said how do you protect your position, you know that’s through pipelines, contracting, having term as you, similar to gathering business, you want to connect directly to the producer, you want dedications, you want long-term contracts, MBCs [ph] where you can get them, but that’s how you generally protect your position.
Spiro Dounis: Got it. That makes sense. Sticking with Water, just in terms of recycling, how are you guys thinking about maybe doing more of that overtime? Are you getting any producer pressure to do more of that, I think even from your perspective our understanding is that recycling would actually be a margin uplift. So just curious how you are thinking about that instead of the saltwater disposal?
Michael Krimbill: Yes, I think it's somewhat state specific. So New Mexico not having as much fresh water as Texas clearly is, a place where recycle makes a lot of sense. Fortunately, we've been creating drinking water and discharging into the river up in Pinedale. So we're very, very knowledgeable in the chemistry of water and we believe we can deliver a better recycled quality water barrel to producers than anyone else. So we're very, very bullish on recycle in New Mexico. I think Texas is a different story because you have - it's a function of fresh water pricing. If fresh water costs $0.50 in one state it's tougher to recycle if it's a dollar-dollar a quarter in New Mexico than recycle makes a lot of economic sense.
Spiro Dounis: Got it. Last one just outside of Refined and Renewables, any other smaller maybe non-core assets you're still looking to trim at this point or right now have you sort of gone through most of the low-hanging fruit?
Michael Krimbill: I think we've gone through the anything significant. There may be some little pruning left in water perhaps and - but I don't see really much left. We've really got a nice asset base in each of our three major businesses and I think we'll just continue to grow those.
Spiro Dounis: I appreciate the color. Thanks guys.
Michael Krimbill: Thanks Spiro.
Operator: Thank you. [Operator Instructions] Our next question comes from Dennis Coleman with Bank of America Merrill Lynch. Your line is now open.
Dennis Coleman: Thank you and good morning everyone. Just if I could start with just a try and explore a little bit on the financing side, I know you don't want to say much about for Mesquite, but maybe just around the timing when do you think we'll get a little more details? And I guess, part of that you mentioned was asset sales and I couldn't help Trey when you were talking about potentially selling the Refined Products business and the leverage impact that maybe that's part of the matrix or the puzzle that you're trying to put together where that that might help with the leverage target. So, there's a lot of questions there, but if anything more you can help us with understanding how you are going to finance the Mesquite transaction.
Michael Krimbill: Sure. So our expectation is to close in July and so that's a little over 30 days away. I would expect to have some color around that between now and hopefully July. So, for timing that's I think that's the best I can give you right now. You did hit the nail on the head from some of our thinking around the financing when we look at this transaction $890 million that the seller is taking 100 million of preferred equity. They have an option to take approximately a 100 million worth of common at a $16 unit price. So, you're looking at 700 million to 800 million to finance based on the guidance that we've given for that acquisition we can finance with approximately $400 million worth of debt, and that keeps you right at your - that's putting about a 3 to 5 leverage target on the Mesquite projected EBITDA. The remaining could be funded in several different options, but our intent at this point in time is to not issue any common equity.
Dennis Coleman: Okay. That's helpful. Thanks for the additional color there. I guess one on Grand Mesa and just trying to understand, you came in I guess it's a financial bottom is 129,000. You know, I guess just to confirm we expect that to move towards 150 of your full capacity over the course of this year. And then I guess, how much of the 51 million in the quarter was from marketing if we can sort of separate that out and figure out what the ramp on the volume might be versus what you're getting to marketing?
Robert Karlovich: Sure so our guidance for next year on Grand Mesa is not to fill the pipeline at this point in time. Our base guidance is at run rate which is 129,000 barrels per day. Anything above that should point us towards the higher end of that guidance range. So, but our midpoint or our run rate is where our current expectation is on Grand Mesa from a guidance perspective. Round numbers that generates about $45 million net of profitability for Grand Mesa on a combined basis. So that's all of the activity associated with Grand Mesa within Grand Mesa standalone basis as well as our marketing activities around Grand Mesa and the remainder is the crude marketing business outside of the DJ.
Dennis Coleman: Got it. Thank you for that. And then I guess lastly, Mike if I can just ask you gave some guidance on how you think about increasing the distribution and if I heard it right it was sort of a two pronged test the first thing I guess yield below 10%, and then the second bps was you know there had to be a sense that the market was rewarding distribution growth, and so I guess that the question is on that second piece of how will you gauge that and how do you sort of make that decision?
Michael Krimbill: Sure, I think it's really just based on the common unit price reaction, are we being viewed as a growth entity or are we going to be penalized because we're raising our distribution sort of doing something else.
Dennis Coleman: Okay. Thanks for the answers.
Michael Krimbill: Thanks Dennis.
Operator: Thank you. I'm not showing any further questions at this time. I would now like to turn the call back over to Mike Krimbill for any closing remarks.
Michael Krimbill: Well none. Thank you very much and we'll be back shortly with first quarter results. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program and you may all disconnect. Everyone have a wonderful day.